Stephan Engels: Good morning, ladies and gentlemen. Welcome to Commerzbank's third quarter 2018 conference call. While the overall challenging environment has by no means become more friendly since our last conference call, we are continuing to implement our strategic agenda. The purpose of Commerzbank 4.0 is clear: We are digitalizing and simplifying the bank, and we are growing with our customer-oriented business model. In short, we are enhancing our profitability. To start with the progress of our simplification and digitalization measures. As highlighted in the past, the sale of our EMC business is an important step towards freeing up resources and capitalizing on our strengths. We have just signed the purchase agreement with Société Générale. With this in place, we will apply IFRS 5 and accordingly report EMC as a discontinued business, starting with Q4. While we will publish a detailed restatement ahead of Q4 numbers, this generally means that revenues and costs will be shown net of EMC contributions going forward. The Digital Campus has finished two further journeys. As a consequence, our digitalization ratio has reached 58% at the end of September. Well in line with our year-end target of around 1 million net new customers in PSBC, since the launch of Commerzbank 4.0, we have added 117,000 in the third quarter. This is the strongest quarter this year based on a balanced contribution from both our branch network and comdirect. With 900,000 net new customers since October 2016, assets under control in PSBC Germany are well ahead of our year-end target. With a quarter-over-quarter increase of 8 billion across all product categories, they stood at 392 billion. Supported by these growth measures and ongoing optimization in the nonoperating segments, group underlying revenues increased by 5.6% in the first 9 months of the year. While clean revenues over summer were flat on Q2, they increased by 8.6% versus the third quarter 2017. Underscoring the progress in our strategy execution, we have improved the quality of our revenues compared to the third quarter last year, which benefited from meaningful exceptional revenue items. As guided, we have reduced the pace of investments in the third quarter, below the run rate of the first 6 months, and continued with our strict cost management. This has resulted in Q3 expenses of 1.7 billion. Also in line with provided guidance, the Q3 risk results stood at minus 134 million. While the credit environment remained benign, we had less support from write-backs compared to H1. With this, our Q3 operating result amounted to 331 million. Taking into account the 0.15 per share dividend accrual, our CET1 ratio increased to 13.2%, and capital build has more than compensated 2.9 billion higher group RWAs. Our leverage ratio remains stable at 4.5%, comfortably above regulatory thresholds. To further diversify and reduce our funding costs, we have been very active in the capital markets with two inaugural benchmark deals. Not only have we opened up the German senior preferred market with the dual transfer action, but also issued our first green bond backed by solar and wind power projects, both at attractive spread levels. Last but not least, as part of our strategic agenda, we have improved our balance sheet and risk profile. The recent EBA stress test clearly confirms the tangible progress we have made since 2016. Let me now talk you through our financial result and start with Slide 2, which shows the quarterly overview of exceptional revenue items. The first nine months of 2017 saw 617 million of exceptional revenue items. Year-to-date, the exceptional items only amount to 37 million, of which 18 million arose in the third quarter. This underscores the improved quality of our revenues and net result. Slide 3 provides an overview of our key financial figures at the clients, but let me directly move to Slide 4 that gives you an overview of divisional revenue and operating results. Supported by our growth initiatives across our businesses, clean revenues in PSBC has increased by more than 9% year-on-year. The change in risk result is mainly due to the transfer of the consumer finance business on our own books. Overall, the quality of the operating result has improved noticeably and stood at 188 million in the third quarter. Corporate Clients continues to operate in an environment of persistent margin pressure. Our strategic decision to streamline the business has impacted revenue. With stable costs Q3-on-Q3 and lower write-backs versus the first half of 2018, the Q3 operating result amounted to 169 million. In ACR, the quarterly operating profit stood at 14 million, confirming our guidance that the segment would no longer weigh on profitability. The significant improvement compared to last year is in part due to falling costs, but mainly due to lower cost of risks. To continue with Slide 5, which shows the development of the group P&L. The group operating profit stood at 1 billion for the first three quarters, proving the steady progress in our strategy execution. And it is based on a significantly better result and strong underlying revenue growth of 352 million versus the first nine months '17. Year-on-year, Q3 net interest income has increased by 160 million, driven by targeted growth in PSBC and lower interest expense from Capital Market issuances. The latter has been partially offset by net fair value result. For the quarters ahead, the Q3 net interest income for PSBC should be a good starting point, while in CC, we rather see something between Q2 and Q3 as the baseline. With costs of 5.4 billion, minorities of 81 million and tax expenses of 187 million in the first nine months, the year-to-date net result amounts to 751 million. The first half benefited from nonrecurring tax refunds. For the full year, we expect the normal IFRS rate of up to 30%. This may include a manageable effects from the review of our DDA positions in Q4 on the back of the persistent negative interest rate environment and the macroeconomic sentiment, including assumptions for potential Brexit effects. Slide 6 provides you with an update on our cost transition in the normal format. After the first nine months of our second transformation year, total expenses amount to 5.4 billion, of which Q3 accounts accounts for 1.7 billion. Since the second half of 2017 and as a prerequisite to execute our back-end-loaded cost-cutting measures, our strategic investments in technology and digitalization have been at high levels. While we continue to invest in Commerzbank 4.0, we have reduced the pace in the third quarter, in line with our plan. At the same time, regulatory and compliance costs were stable in Q3. Compulsory contribution have further increased by 18 million compared to a year ago. In the first 9 months, they amount to 364 million and will represent around 6% of our full year cost base. Reflecting the ongoing growth path, group expenses include 58 million higher costs for our subsidiaries comdirect and mBank compared to the first 9 months 2017. At the same time, we are continuing our strict cost management in the German operations, with intensified sourcing as what being an important element. As discussed in previous calls, sourcing has a transitory impact on overall headcount that leads to significant cost savings per head. With ongoing stringent cost control, including efficient management of operating expenses and lower impact from larger group projects in the fourth quarter, we are maintaining our full year guidance of around 7.1 billion. Moving on to Slide 7 and our risk result. Commerzbank's risk profile remains very healthy. Backed by a stable German economy, we continue to operate in a benign credit environment with historically low default rates for both retail and corporate customers. This enabled us to further reduce our nonperforming loan portfolio in the quarter and led to a risk result of minus 134 million. The quarter-on-quarter increase of the risk result can be explained by going through the segmental trends. Compared to the support in the first 2 quarters of the year, Corporate Clients has seen fewer write-backs in the third quarter. While the risk result in PSBC has been stable Q-on-Q, the increase over the first 9 months of the year reflect higher cost of risks at mBank and the consumer finance business on our own balance sheet. Current loss experience of the consumer loan portfolio is in line with our expectations and well covered by gross margins. As in H1, ACR had on a net basis no risk losses in the third quarter. We are maintaining our full year risk guidance of slightly below 500 million. This guidance assumes that we do not experience unforeseeable larger credit events, with significant provisioning requirements under IFRS 9 and that trade conflicts do not intensify. To round up my comments on Commerzbank's risk profile, let me spend the few moments on the pleasing result of the recent EBA stress test on Slide 8. The stringent implementation of our strategic agenda and resulting improvement of our balance sheet and risk profile is reflected in this year's stress test result, which documents a significantly better performance compared to 2016, despite the even more severe scenario. Our fully loaded CET1 ratio in the adverse scenario now compares well both domestically and in international peer comparison. Let's carry on with the operating segments, and start with Private and Small Business Customers on the next 2 slides. Our Commerzbank 4.0 growth track remains on -- growth path remains on track. We have added 117,000 net new customers in PSBC Germany in the third quarter, with both our branch network and comdirect delivering well. This brings total net addition to 901,000 since October 2016 and shows that we are successfully steering customer acquisitions in line with our targets. Benefiting from ongoing customer additions as well as our comprehensive product and advisory offering, assets under control in Germany has grown by 8 billion across all categories in the third quarter. Driven by new business volumes from comdirect, securities volume were 3.5 billion higher. Year-to-date, net new inflows in securities accounts have more than offset the decline of the relevant equity indices. With our 2020 target of more than 400 billion within reach, total assets under control stood at 392 billion at the end of September. This is 27.6 billion or almost 8% higher than a year ago. To drill a bit deeper into loan dynamics in a German market that remains very competitive, year-on-year, we have grown the loan book in PSBC Germany by 8 billion, more than 6.5 billion of which stem from our mortgage business. Benefiting from 3.6 billion of new sales in Q3, the highest volume year-to-date, our German mortgage book has grown to a total of 73.9 billion. To broaden our product offering and with further marketing campaigns in the pipeline, we are continuing to invest in our consumer loan platform. Admittedly below our targeted growth rate, the total consumer loan portfolio now exceeds the transferred amount and stood at 3.6 billion at the end of Q3. In Q3, the consumer loan portfolio contributed 61 million to NII. Compared to the first 9 months last year, the portfolio added net 97 million of revenues. Benefiting from pricing adjustments, PSBC net commission income has grown to 484 million in Q3. Reflecting the ongoing growth path of our 2 digital hubs, 9-month clean revenue at mBank and comdirect have increased by 64 million. Due to a higher volume of consumer lending product and income from deposits, mBank's net interest income has grown by 43 million, while net commission income has been stable. Based on a growing securities business, comdirect has grown its net commission income by 14 million in the first 9 months. Finally, Commerz Real has increased its revenues over the same time period, supported by a robust real estate market. Taking these growth initiatives together, we are able to report 266 million higher underlying revenues for PSBC versus the first 9 months last year. This forms the basis for the increased quality of our operating result. For the first 9 months, the operating result of PSBC amounted to 564 million, of which Q3 contributed 188 million. Slide 11 and 12 provide an update of Corporate Clients that continue to operate in the difficult market environment. To start with our key execution indicators and current trends in the German corporate lending market, which is facing persisting margin pressure. Current data is showing strong corporate loan growth in Germany. However, growth in the underlying SME loan market is only developing in line with GDP. Additional loan growth is driven by a strong demand in commercial real estate lending with longer tenors. In line with our strategy, we are only selectively involved in this market, rather focusing on our core client base. In addition, we are seeing an easing of landlord standards, while we stick to our prudent approach. All those trends weigh on our growth. However, with ongoing customer additions, which are well ahead of target, and our existing market-leading position, we have been able to slightly grow loan volume corporates to 81 billion in Q3. Underlying revenues in Mittelstand have benefited from further loan growth and the release of legal provisions in the third quarter. Without larger transactions in credit portfolio management and less acquisition finance, both corporate international and others had lower revenues compared to Q2. On a positive note, financial institution has stable revenues quarter-on-quarter, while operating within a tight risk and compliance framework. As recent events in Europe pay and banking have shown, both the decision to streamline our correspondent banking network and to continuously invest in a robust compliance function has been the right approach. In other words, it's money well invested. To sum up Corporate Clients. With a stable cost Q3-on-Q3, despite ongoing investments and a higher risk result due to lower write-backs than in the first half, the Q3 operating result of Corporate Clients stood at 169 million. Q3 clean revenues are a good starting point for a usually somewhat softer Q4. This also takes into account that we don't necessarily see restructuring successes in others like in the past quarter. Finally on segments, please turn to Slide 13 to have a look at ACR. The value-preserving rundown of portfolios continues across all sub-segments, with an exposure reduction of 5.1 billion year-to-year. Benefiting from positive hedging and valuation adjustments, and in part lower operating expenses, the Q3 operating profit stood at 14 million. This adds to nine months operating profit of 90 million, well in line with our guidance that ACR should no longer weigh on group profitability. Continuing with RWAs and CET1 capital on Slide 14. With contributions from all categories, quarter-on-quarter group RWA increased by almost 2.9 billion to 178 billion. 1.2 billion of this increase stems from market and operational risk RWA. While the rundown in ACR has been almost offset by FX effects, the 1.6 billion increase in credit risk RWA is driven by ongoing growth in our core loan portfolios. At the end of Q3, our core Tier 1 capital ratio improved to 13.2%. The increase in RWA has been more than compensated by higher CET1 capital. The latter is driven by retained earnings net of further dividend accrual in line with our aim to pay 0.20 per share. In addition, lower capital deduction has contributed positively. Ladies and gentlemen, let me wrap up. Our strategy execution is progressing with measurable outcomes. We are delivering on our net new customer targets in PSBC Germany. And as a consequence, we have continued to grow assets under control well ahead of our plan. Benefiting from our growth initiatives, underlying revenues have significantly increased despite headwinds from a competitive market environment, in particular, in Corporate Clients. Higher underlying revenues form the basis for a stronger operating profit and are proof that growth is possible and can pay off, albeit below the originally targeted trajectory. Looking further out, and as many market participants expect, we have reviewed our 9.8 billion revenue ambition for 2020. As a result, we will in all likelihood end up slightly lower. But again, I'm very convinced that our strategy will bear fruit and revenues should exceed consensus numbers in 2020, assuming at least some relief from rates and margins. Back to 2018. In line with our year-end cost target, we have reduced the pace of investments. Based on a healthy risk profile and a strong balance sheet, we are continuing to reallocate capital in our growth businesses. In line with our year-end guidance of at least 13%, our core Tier 1 ratio has increased to 13.2%. On the 1st of January next year, IFRS 16 will become effective. We expect a reduction of our core Tier 1 ratio by around 15 basis points from the first time application. To conclude, I would like to provide you with our unchanged outlook for the full year 2018. We expect higher underlying revenues in PSBC and the group. Underlying revenues in Corporate Clients will be below 2017. We will manage our cost base at around 7.1 billion. Assuming no intensification of trade conflicts or unforeseeable larger credit events with significant frontloaded provisioning under IFRS 9, we continue to expect the risk result of less than 500 million. Finally, on our outlook, we aim to pay a 0.20 per share dividend for the fiscal year 2018 and have accrued accordingly in the first nine months. Thank you very much for your attention. I am now happy to take your questions.
Operator: And the first questioner is Nicholas Herman from Citigroup.
Nicholas Herman: Three questions, if I may, please. So the first question is on Corporate Clients NII, which is very strong, so you must be pleased with that. So the question is, how much of the additional NII and loan growth in Corporate Clients is coming from new customers? Because obviously, new customer acquisition have been very, very strong and well ahead of plan. But until now, we haven't really seen Commerzbank monetize those new clients. So that's my first question. And the second question is on German PSBC NII. Now I don't want to take anything away from your group NII, which is strong, but German PSBC NII looks to be only flat Q-on-Q. That's despite loan growth and further deposit optimization. So if you could talk to that, please. And then my final question is on digital. I understand that Commerzbank recently ended plans to launch a robo-advisor in PSBC and shifting customers to comdirect. How does this affect the customer experience? And are there any other digital projects that you've deviated from?
Stephan Engels: Yes. First question, Nicholas, on NII Corporate Clients, the net new customer turn into revenues is a bit slower in Corporate Clients then we have it traditionally in PSBC, because you normally start with a loan product and then develop the cross-sell over time, basically taking these customers out of, in parallel, existing bank relationships. And in that sense, the impact is relatively small. A lot of the NII improvement is from the deposit part, which improved roughly 30 million quarter 2 and quarter 3. On the loan side, I think the trends are pretty clear. The volumes are going up, but margin pressure is still there. And since we have a relatively short back book that we decided in around 2013, 2014, 2015, to go the charter given the uncertainties about regulatory impacts on Basel IV and the others, we have currently a somewhat faster running of back book with higher margins, we have lower margins in the front book business where you still see a somewhat negative impact from the loan part on the NII still in CC.
Nicholas Herman: Q-on-Q, 2017. If I could just push you there quickly. My understanding also is that you are trying to manage the margin. Is that still correct, that you are still trying to do it?
Stephan Engels: We still manage the margins very actively, and we still have to do the proper balance between which deals do you want to be part of despite the current margins, because at least the prospect for credit spreads is going up when the ECB bond-buying program will find cease at the end of the year. It's worth the effort to at least run for a while with the market and accept these lower margins because you don't want to lose the customers. And in that sense, margin are actively managed. As I mentioned in my little speech, we also try to stick to our -- or we do stick to our prudent risk approaches, which means that some of the -- or a good part of the market which is under covenant life structures is not really available currently. PSBC NII quarter-on-quarter, I think you need to keep a little bit in mind that it is somewhat quarter with some smaller movements and deposits and other stuff, but I think that is not too much to speak about. On the ruble stuff, it is still small, one has to say. It is working. We currently do not necessarily expect too much of an impact in general. Because as I said, it's still small. And comdirect, from our point of view is the right vehicle, because in our experience, it is more of the, let's say, digital online type of customers that go along with this product.
Operator: Next up is Benjamin Goy from Deutsche Bank.
Benjamin Goy: Two questions, please. You mentioned -- 2 unrelated, the first one on cost. You mentioned that you want to slow your investments in Commerzbank 4.0. Is that the main reason why essentially you expect costs to be flat to slightly down even in Q4 and -- which will be better than your historical run rate we saw in the seasonal uptick in the fourth quarter? Or any other help, I don't know, Copernicus or equens or something like that? And the second question is, I guess we know you have a strong market position in Mittelstand. So just wondering whether, regionally, you see any gaps here and would like to improve your market position.
Stephan Engels: I like very much the very elegant way to approach the topic, which I won't comment on anyway. Now I think the regional spread of our Mittelstand business is by far the best in Germany. We have more than 100 regional presences and I think I cover the market very well. Nevertheless, as you know, we want to grow our Mittelstand business into the -- or beyond the existing strong position also towards the smaller Mittelstand. On cost, we didn't necessarily slow the investments, we reduced them. And the difference is that we that have projects that finished. And as project finish, it's not only the investment goes away, but also in many cases, the external help that you hire through these higher projects, so that should help. If you look at our cost transition, you can see that the personnel costs are still going down. What we -- what have been going up is operating costs, and that has to -- that also has to do a lot with the projects.
Benjamin Goy: So should I understand that you're also happy with your market position in Northern Germany, specifically then, yes?
Stephan Engels: I leave the interpretation of what I say completely to you, Benjamin.
Operator: The next question is from Giulia Aurora Miotto from Morgan Stanley.
Giulia Aurora Miotto: A couple of questions from me as well. So the first one on provisions. You said you're seeing fewer write-backs than previously, but of course, asset quality still remains very benign. And you reiterated the target for below 500 million for 2018. I was wondering whether you could comment on the outlook for cost of risk beyond 2018. So do you think a 500 million level would still be realistic going forward to 2019, 2020? Or how should we think about cost of risk? This will be my first comment. And then, secondly, on PSBC. You have added 300,000 customers this year, which is of course a good growth, but perhaps fairly below the 500,000 usual annual run rate for the 2 million customer target. So could you please provide us with an update on the local competition here. Do you see competitors stepping up their efforts to retain their customers or perhaps acquiring new customers? Or are you planning to launch any material campaign in Q4? Yes, any updates here would be useful.
Stephan Engels: The risk part first. Again, we said that we expect risk cost to be slightly below 500 million for 2018. To this I would say, we only give guidance for the following year at the start of the year with our full year press conference. So I would, in general, stick to that one. We need to still keep in mind some dynamics, which is indeed that we have, hopefully a growing consumer loan business which will change mechanics a little bit. Let me say that much. Other than that, currently, if we look at our experience and if we -- our loss experience, if we look into our books, there is nothing that shows any substantial change to what we have seen so far. But again, guidance for 2019 will be given with our full year press conference. PSBC growth, we have given the target that we want to achieve the one million net new customers at the end of 2018. And as I look at the numbers we are currently seeing, I'm pretty optimistic that we'll get there, which means there is still something to happen in 2019 -- 2018's Q4. And again, from today's point of view, I'm seeing no reason whatsoever to deviate from the 2 million target at the end of 2020. Local competition, let's be simple. There is -- competition is always and everywhere. And then I think Q3 is a good proof that we can run campaigns and achieve our goals. And my belief is that we can still do that also in the upcoming quarters.
Operator: The next question comes from Riccardo Rovere from Mediobanca.
Riccardo Rovere: A couple of questions, if I may. The first one is a clarification on your 2020 revenue target. If I got it correctly, before, you mentioned that you think you might not be in the position to meet it. But this doesn't help much us, because at the end of the day, consensus is already kind of 600 million or 700 million below what you are going for. So consensus is going for less than 9.2 billion in 2020 according to what is published on your website. Do you think that number is still feasible, although lower than the original target included in CBK 4.0? This is the first question. The second question I have is on the risk-weighted assets. TRIM should be going on right now, should we expect anything or do you expect anything particular when the process is going to be over? And very final question, if I may. Would you be in the position to give us a bit of a color on the progression of headcount reduction in the number of FTEs?
Stephan Engels: Maybe starting with somewhat reverse order. TRIM, TRIM is still an ongoing exercise and we have not received any official feedback regarding potential RWA impact. So I'm not really in the position to give you any real guides on the further impact. But let me put it this way. No impact is probably not a very prudent assumption. On the 2020 revenue target, indeed, the consensus is roughly at 9.2 billion. The ambition when we started Commerzbank 4.0 was 9.8 billion. I think we have seen that the strategy as such pays off. We have seen revenue growth. We are seeing assets under control growing. And we're even seeing loan growth in the Mittelstand business. But given, let's say, all the things that has happened since then, the persisting interest rate environment, general discussions in Europe around budget in Italy, Brexit, the somewhat ongoing trade disputes that have also weighed on some of the going forward outlooks seems to indicate that we'll probably not get to the 9.8 billion. So again, planning is a mechanical exercise, and that mechanical exercise leads to a number slightly below the 9.8 billion. But as I said, definitely above the 9.2 billion that we see in the consensus. And as I said, at least some headwind from slightly better margins and maybe some interest rate should be helpful, sorry, tailwind, I picked the wrong word. So tailwind from rates and margins.
Riccardo Rovere: So if I get it correctly, you think -- okay, 9.8 billion, fine, got it. The 9.2 billion from your wording, you sound kind of okay with that number.
Stephan Engels: Yes. But let's try something on the back of the envelope. If you take this year's consensus in revenues, take out the EMC revenues and apply roughly the growth rate that we have seen in clean revenues '18 compared to '17, that also may give you a reasonable range of where we believe we could get to.
Operator: The next question comes from Britta Schmidt from Autonomous Research.
Britta Schmidt: I have got a follow-up question on capital, please. That will be the first question. The Bundesbank recently did an impact study on Basel IV RWA increases coming with 35% roughly for the German system and the [indiscernible] also had a -- did undertook an analysis which came up with 23%. So maybe you can give us some sort of indication as to where Commerzbank would sit in that range. And my second question will be on legal issues. Could you tell us the size of the legal provision release in Mittelstand? And can you also comment a little bit on the cum-ex and cum-cum discussion in Germany? Can you confirm that cum-ex is done for Commerzbank? And can you give us an update on the other outstanding legal issues?
Stephan Engels: All right. Let's start with the easy ones, cum-ex and cum-cum. There is no news for Commerzbank. We have finished our forensic analysis on the cum-ex part for Commerzbank. And as I told in earlier conferences, have passed that on also to the officials in Germany. Same is basically true for cum-cum. The release of the legal provision in MSB, which you'll I think find under other, is a two digit number and yes, low double double-digit number. Capital and Basel IV, again, I think the view is that as we approach the conversion of the somewhat more generalistic Basel IV agreement international law, there is all kinds of studies available and other stuff. Whatever these numbers seem to indicate, I think given the extremely long implementation path finally up to 2027, whatever these numbers are, you have enough time to adjust your business model and your book if you really see any of the assumptions that flow into these two studies will really become true.
Britta Schmidt: Sorry. Just to follow up on that. You wouldn't say that Commerzbank will be an outlier versus the numbers that has been published as estimates.
Stephan Engels: No, I think whatever we have seen, and again, these studies lists some big spreadsheets with numerous assumptions, we haven't been an outlier in any of these spreadsheets. And I also said also in previous calls, trying to debate now how you vary which assumption and how you then adjust your business model, at the end of the day implementation time, as I said, is long enough to adjust if necessary.
Operator: The next question comes from Andreas Hakansson from Exane BNP Paribas.
Andreas Hakansson: Two questions. First one, we talked about volume growth, both in retail and in corporate. Could you tell us what type of ROE hurdle do you have to put on new businesses in those divisions? And the second question, coming back to the 2020 revenue target. I mean, we all has different views on interest rates of course. And could you tell us what's your view relative consensus if we assume that the interest rates are flat and that margins are flat? So if we exclude those two parameters, that's a bit more uncertain.
Stephan Engels: Yes, I'm -- on volume growth, let me put it this way. I think I'm not really prepared to discuss something as sensitive as my sales guy steering mechanisms here. But there is a clear -- there's at least one very clear indicator for our business in MSB that -- or in Corporate Clients that we want to have an increase in our RWA return, and that is clearly a part of the steering. 2020 revenues, again -- let me again try. The planning module obviously mechanistically reflects probably something like the forward in interest rates. And the gut feeling I think is whatever it shows in the forward is not necessarily what will become true, at least that's the experience over the last 2 years. But even if you would take it out completely, we'll still be above the consensus that the markets currently have.
Andreas Hakansson: And that's also not expecting an increase in margins as I think you mentioned as well.
Stephan Engels: I guess we will -- we have seen already a little bit of widening of credit spreads since the ECB has at least announced that it would buy the corporate bond-buying program. I would think that will progress as we go forward.
Operator: The next question comes from Marco Di Matteo from Goldman Sachs.
Marco Di Matteo: I just one clarification about the comment you made about DTAs. So I think that you were extending into planning period some assumptions about lower interest rates. And so -- and then linked to this, on your revenue guidance that -- on the other hand, you were mentioning that to exceed the 9.2 billion, you wouldn't expect at least some relief on rates. And how can we -- so if I remember correctly, was the 9.8 billion original target has to meet the forward curve or no flat interest rates versus 2016 when it was presented?
Stephan Engels: The calculation of DTAs under IFRS 9 -- and IFRS unfortunately is a kind of a separate topic that could probably fill another hour at the conference here. Let me put it this way. Given that we have an extremely low tax rate in the first 9 months of 2018, which has to do, as I said before, a lot with outstanding issues that we have sold and tax refunds, that is also an opportunity to review these DTAs, probably on a somewhat more prudent type of view, which still means that we will end up in the range of 25% to 30%, or up to 30% as I said, and that will include then probably a smaller DTA adjustment. And again, think about issues like Brexit and other, so there's a lot more going on than just interest rates.
Operator: And the last question comes from Tobias Lukesch from Kepler Cheuvreux.
Tobias Lukesch: Also, three questions from my side. First, on consumer loans. You reported that the volume has been up by around 100 million to 3.6 billion. Here my question is I still don't find any offers on comparison platforms, usual comparison platforms in the German banking-scape. Is there anything planned for 2018? If so -- if not, how do you want to reach the huge growth numbers that you still have in your business plan for the consumer segment? Secondly, on ships, if you look at the ACR segment and look at the revenue line items, with the exceptional items you see 81 million in ACR. First, the question is that -- or how much of that is from ships? Can we expect some positive one-offs going forward? And secondly, on the group, Ship Finance recorded the 1.1 billion less. Can we -- are you also expecting some more write-ups maybe also in the Corporate segment? And lastly, on costs again. I mean, you also talked about the [indiscernible] underinvestment over a decade at Commerzbank, and now we see that you are running a lot of investments with the bank. Also at your subsidiaries like comdirect, you are using proceeds to kind of do investments that may be also labeled as ongoing usable business operation. So here, my question is, what else can we expect on the investment side especially? And yes, how will then maybe cost guidance into 2019 may look like?
Stephan Engels: So this was our last number of questions. I hope at least I got half of it. Let's start with your first question on Consumer Finance, and that relates then to what I said in the beginning of the speech. We have finished 2 journeys in Q3. One of them is the API journey, which then will allow us to basically flex in or to extend the offerings also beyond the existing branch networks, so that is obviously one of the levels and one of the reasons why investments are still a prerequisite for growing. Ships, I'm not sure whether I can give you really -- there is nothing in the revenues from ships in the 80 million. I wouldn't expect really writeups neither in the ACR segment nor in the customer. In the Corporate segment, the 1.1 billion shipping exposure is performing well, one has to say, and is not a headache at all. Costs, the simple answer to what you asked is, guidance for 2019 will be only available in early 2019. What we have reiterated through our previous quarters, and I happily do so today again, is that our cost ambition for 2020 remains unchanged at the 6.5 billion, which still foresees investment into technology and digitalization but probably at a more measured path, again, consistent with our Capital Markets Day 2016, where we always said that '17 and especially '18 will be the peak investment years.
Tobias Lukesch: Okay. Maybe if I may follow-up on the cost side. Having maybe a bit more clearance on -- or clarity on the EMC sales. So initially, you're talking about 200 million, then 200 million to 300 million. Could you give us a bit more flavor on how that line item will look like, which then will disappear obviously and be reported as a net number?